Operator: Ladies and gentlemen, welcome to the Sonova Holding AG Half Year Results 2024-2025 Conference Call and Live Webcast. I'm Sandra, the chorus call operator. I would like to remind you that all participants have been listen-only mode and the conference is being recorded. The presentation will be followed by a Q&A session. [Operator Instructions] The conference must not be recorded for publication or broadcast. At this time, it's my pleasure to hand over to Arnd Kaldowski, CEO. Please go ahead, sir.
Arnd Kaldowski: Sandra, thank you. A warm welcome to everybody on the call to our half year results 2024-'25. I have next to me Birgit Conix, our CFO; and Thomas Bernhardsgrutter, our Senior Director of Investor Relations. We want to at the beginning, share the half-year results with over a little bit the slides you have in front of you talk a little bit about market trend and I am sure a well-received update on the progress we're making with Infinio and Sphere after the launch in August and September. On the disclaimer please take note, the presentation contains forward-looking statements. Everything else is well known. So please look at it that way. Looking at the summary for the first half year, I think on a high level we have been able to realize solid sales growth, driven by share gains in hearing instruments and cochlear implants. On the hearing instrument side despite us being in a late cycle until we launched Infinio and Sphere. Also a strong development in the cochlear implant side picking up momentum relative to the year before. We have some challenging market conditions and also headwinds from lead generation in the Audiological Care side and particularly the market conditions in the consumer hearing business, which is holding us back on the growth side. Looking at the product launch, the last time we talked was around the Capital Markets Day. No change in positive sentiment by the customers, no matter if it's at the trade show or in a one-on-one with a customer, very positive response to the significant improvements from Infinio as the platform and then even more positive reactions on the Infinio and Sphere with regard to the better hearing in noisy environments, which didn't have a significant contribution into the first half year some, but keep in mind U.S. launched in August and the rest in Europe only in September, but it clearly kind of gives us a strong momentum coming into the second half year and we've seen that in the October numbers. I'm sure you took note on the pressures on the profitability side planned from a launch perspective and the dynamic on the hearing instruments side. You always come in at a low price in the old platform, then you pick up to a higher price. There is logically product ramp up cost on the pure physical side. And then we chose to make it the biggest launch we ever have done as Sonova and Phonak, which does have an impact on the cost side. But all of that well-invested money for the momentum pickup not just for the second half, but also for the positioning of the product for the year after. In addition, and not so much here at the Capital Markets Day because we talked on the product, there wasn't a financial update. The combination of high lead generation costs on the Audiological Care and then the limited organic growth you see in the numbers have created some headwinds coming from the large fixed cost nature of the business. And unfortunately, the Swiss Bank continues to be a headwind for us. I think on the market side, not a big surprise, we said that two months ago. The market is slower than what we thought when we came into the year. I hear the same from others. But despite that I think we've shown a solid growth and do feel we're on good track with regard to the guidance we gave. And in that regard, we confirm our guidance for the full year on the top line as well as on the bottom line. On the bottom line, I'm sure there will be questions, but on a high level, if you go from lower ASP to higher ASP and you have incremental volume, those two together have significant positive impact to your EBITDA and the EBITDA growth. We in addition have put some additional cost-tightening measures into place, particularly on the Audiological Care and the G&A side. I want to move a little faster from here. Looking at the high-level results, you see the 5.9% solid growth in LC, organic 4.5%. You see the EBITDA here with the negative 180 basis points in LC very much driven by the specific headwinds. We have seen a significant part of that being the HI launch. EPS lower, there is some tax implications which I'm sure Birgit will voiceover and then you see the outlook or the guidance here on the right-hand side which we feel confident around. If we go to Page 6, a couple of points more to tease out. Nice growth on the hearing instruments at plus 7%. Keep in mind that's the half year where we're late in the cycle or predominantly late in the cycle. And that against the market which wasn't that strong. Even stronger on the unit volume. From a growth perspective, we don't publish a number, but you have to assume that the unit volume growth was higher and the ASP pressure was a negative number. Talked about the positive feedback. We had initial constraints on the shipments. We're since end of September in the position that we ship well, meaning everything which we have offered to customers is flowing nicely. We still have not launched on the Infinio of the CHF30 and CHF50 price range which will come later in the second half year and will be an additional helper from a top-line perspective. Audiological Care, I want to focus on point number three which helps a little bit to understand the dynamic here. I think it's fair to say against the 1.1% in organic growth we would have liked to see a high number. On the other hand, I think most of you are aware two-thirds or more of our stores are actually in Europe, So Europe being the more muted market relative to North America is a mix issue. But outside of that, I think we would have liked to have a higher growth coming out of better leads coming into the year and then better execution on the lead side, which we see gradually improving in what we produce in appointments year-over-year, which gives us also some confidence into the second half year. We also expect on Audiological Care now have a page later a positive coming out of the new product. I don't want to use it as an excuse, but even our audiologists do know when a new product is coming. So you could say there may have been a little bit pent-up demand, but we clearly see a nice positive contribution in additional consumers wanting a new hearing aid coming out of the new products available. So looking positively on the momentum on the AC side coming into second half year. Consumer hearing at a minus 1.7%, that's directly in line with market. Where do we have market data from? We get information from GSK in the six largest markets. So we know pretty well how others are doing. We can also see it on published data, but in line with market share pickup in audiophile, which is the high end, but the market is still in a difficult environment. And then certainly cochlear implants with a positive start into the year at 12.5%. Noteworthy to point out that the system sales was up by 18.2%, which is really bringing new consumers for the rest of their lives to AB. We move to Page 7. That's the whole segment. I voiced the top-line elements over. From a profitability perspective in the upper right box you can see that we were down by almost 5% in the segment. Two spell-outs are already voiced over, but these are the two major ones driving this performance. A, cost related to the product launches and the lower ASP. But then again the negative leverage which we had in AC between the organic growth and the cost increases year-over-year. We can flip quickly through here. I think I voiced over pretty much everything on this page and I have more detail on the products. So if we move to Page 9, just a reminder when you think about the new platforms you actually have two distinct sellable items. You have the Infinio as the upgrade to the Lumity as we normally upgrade product with the new chip ERA for connectivity, but also the improved first time fit. You can see the significant improvements on the Infinio alone with regard to fatigue and lower listening effort. And then obviously on top of that comes the incremental functionality out of the DEEPSONIC Chip and the DNN. It's very significant improvement in noisy environment. If we go to the next page, that's probably the most interesting outside of the financials. It's how the new product doing in the marketplace. I think we're three months in now, and I'm combining here a little bit with some information from October, I would say, at the highest level, we are where we wanted to be and read into that ahead of the balance scenario, right? Because you have a low scenario of a balance. You have a high scenario. I think if we look at all of the numbers here and how we're doing eight weeks in or 10 weeks in, we feel very positive about the momentum out of the gate. If I start on the lower right, we've seen the positive customer feedback that has continued in all events, very positive reception on the appeal of the product also from a competitive advantage. If you go to the high share of Sphere Infinio supporting the case that people are excited about the Sphere technology and the benefit now willing to pay extra money for it. We're still about 50% globally Sphere as a share of the total, which does give a nice ASP uplift because that one was priced meaningfully above the normal, let's say, increase for the Infinio. The good repurchase rate at 70%. That's in line with our best product launches we had over the last six to eight years. Keep in mind, it's somewhat limited launch because we don't have all colors and all price points available. So we feel good about this number. If you look on the commercial success, I think two important notes from a unit volume perspective. Despite some pickup at the beginning from an availability, its highest unit volume we have produced for the launch in eight weeks. Keep in mind that the ASP is relatively high because of the Sphere components. So revenue-wise, this is a strong launch. We have pointed out and you can measure different time lines, but at least from July market share in United States and commercial market versus what we were able to do in the first two months after the launch, we had a meaningful pickup in market share. We get these information from all manufacturers accumulated. So my 5 points. Don't read into that, that this is our prediction for all markets and all time lines. It's just one way to measure how strong the initial first months were. Moving to Page 11, more of a low light. As you've seen from the growth here, I think I voiced most of the elements over I think we have an elevated cost on the lead generation side. I do hear similar things from others who also publish information. I think at the end, looking at interest of every player to bring people to the store in Europe in a lower consumer confidence environment, and they are ending up in higher prices for the marketing spend. It's still worthwhile to do it because at the end of the day, we have a big fixed cost structure below. We are making adjustments to the organization, not from a short-term perspective, but more given that the run rate is somewhat lower than we would have thought. We find opportunities to adjust the OpEx structure more in a structural way. One point I wanted to share because I voiced it over at the beginning, a great new product, it’s super helpful in hearing instruments in the wholesale. It also helps move consumers in our own stores. These are just as an example of Boots. That's one of our large retail areas in the U.K. where, I think, for the first time, we really had a concerted effort across the different audiological key areas with a new product. The excitement was very high for the new product, and you can see even they had a dedicated campaign on print existing customers and even media engagement and boots. And you can see on the right-hand side, and again, this is initial commercial impact. Don't take it as an average for two years. But clearly, strong numbers with regard to incremental leads in the first couple of weeks and then the share of the new product and the price realization. So it does help also in AC to drive more momentum here. Page 13, Consumer Hearing business. The market is challenged. We see that in the data. There's an interesting bifurcation still going on. The Bluetooth headband version of products growth since two years nicely. The true wireless is declining. That's the market information. We see the same effect in our world. But the sum of the parts right now in the market is shrinking, and we do believe we need to see improved consumer sentiment in the younger population for us to get back to meaningful growth. I think the market will continue to grow longer term. I think there are more and more people who want to listen as they are on the go. But I think it takes longer than the hearing instruments market to recover from the lack of consumer confidence. Page 14, Cochlear Implants segment. That's for me, the second highlight of what we have been able to achieve in the first half year, obviously, a smaller segment, but one which is also important to us. Nice growth it's 12.5% overall. I think, on the processor side, we don't expect a lot of growth until we launch a new processor. No, we're not announcing a new one today, and not in the next couple of months, so no impact in the remainder of the year. Therefore, even more important that the implants are growing well. 18.2% clearly is a high number for half year. We think it comes from: A, the remote functionality we introduced nine months ago on the back of the Marvel processor, which is unique. We're the only one who can do real-time remote programming, and that is currently more important in cochlear implants than in hearing instruments. I think secondarily, we're learning to bring more and more leads from retail stores, independents as well as our own to our funnel. So good pickup there. With that, I want to hand over to Birgit, who will guide you through the financials, and then I'll pick up at the end with some commentary with regard to the second half and the guidance.
Birgit Conix: Thank you, Arnd. Welcome, and thank you for joining us today. So on the financial performance, let's go to the Slide 16. So group sales reached CHF1.8 billion, representing a 5.9% increase in local currencies. And I will break down the sales bridge into organic growth, M&A and FX on the next slide. Then profitability. So the gross margin -- gross profit margin improved to 71.9%, which is up 50 basis points in local currency from last year. Adjusted EBITA reached CHF325 million at a margin of 17.7% and was down 3.7% in local currency. As expected, we incurred costs related to launch and manufacturing for our new products and phase late cycle ASP pressure, as Arnd mentioned. In addition, we saw elevated lead generation costs in our Audiological Care business. EPS came in at CHF3.74, down 9.6% in local currency. In Swiss francs, our EPS decreased by 13.9% in the first half. Our operating free cash flow reached CHF104 million, a decline of 30.7%, mainly due to the aforementioned H1 profit development, of which one-third relates to currency. Then also a more linear CapEx phasing in Audiological Care versus prior year and elevated inventory levels from recent platform launches. Then our leverage ratio remained stable at 1.8 times, in line with last year. The first half year leverage typically is above our full-year target due to seasonal factors like dividend payment. And then finally, our net debt position increased by roughly CHF200 million versus the year-end position, due primarily to the dividend payment in June and it decreased by CHF100 million versus the same period last year. Then moving to Slide 17. Our sales growth was primarily driven by an organic increase of 4.5%, complemented by M&A contributions of 1.4%. FX had a negative impact contrary to our May expectations of a slight positive effect. FX reduced our reported sales by CHF23 million, translating to a minus 1.3% impact, which gives us a top-line growth of 4.6% in Swiss francs. Breaking it down further, the standout performers were our Hearing Instruments business, which grew by 7% despite late cycle ASP pressure. And additionally, our Cochlear Implant business showed strong momentum with 12.5% growth for the first half. Then moving over to gross margin, we saw a positive gross margin development compared to the same period last year, up 50 basis points or -- in local currency or 30 basis points in Swiss francs, and the gross profit margin benefited from higher volume in Hearing Instruments and lower component costs. Additionally, we saw decreased repair costs due to ongoing improvements in product reliability. The positive development was partly offset by pressure on average selling prices in the period before our new launches, along with costs associated with ramping up manufacturing. Then moving to OpEx, so during the first half, our operating expenses were roughly CHF1 billion, reflecting a 10.6% increase in local currencies. Sales and marketing outpaced sales growth due to substantial launch investments, elevated lead generation costs in the Audiological Care business and M&A activities. Excluding these factors, growth was below the sales growth in local currencies. From the G&A expenses increase, nearly half came from higher IT investments as well as costs associated with equity-linked compensation tied to the positive share price development. R&D expenses remained stable in local currency year-over-year. And while we continue our focus on innovation, this stability reflects the successful conclusion of our parallel platform development for Infinio and Sphere Infinio. Now let's go to our EBITA performance for the first half of the year. Our adjusted EBITA decreased by, as I already mentioned, by 3.7% year-over-year as a result of the aforementioned gross profit and OpEx performance. Then moving to reported EBITA. As we highlighted in May, we continued with our structural optimization initiatives, which resulted in restructuring costs of CHF14 million, including the setting up of a new operations facility in Mexico. Additionally, adjustments include CHF3 million in transaction and integration costs related to M&A, collectively reducing the reported EBITA margin by 90 basis points. Currency headwinds reduced EBITA in Swiss francs by CHF11.6 million, leading to a further 40 basis point impact on the reported EBITA margin to 16.8%. Then moving to cash flow. Our operating cash flow before changes in net working capital ended at CHF349 million, driven by lower income before tax, of which, as I already mentioned, one-third relates to FX in that total number. Then the change in net working capital remained relatively stable versus prior year at CHF134 million. Its net cash outflow related primarily to the buildup of inventory for our new platform launches, partially offset by benefits from improved payment terms and also improved receivable days outstanding. CapEx amounted to CHF71 million, up CHF18 million from the previous year, driven primarily by a more linear phasing in the Audiological Care business versus the same period last year. And then in summary, our operating free cash flow for this fiscal year reached CHF104 million, below prior year due to the aforementioned elements. Then finally, let's review some key figures from our balance sheet on Slide 22. Day sales outstanding improved by two days year-over-year, reflecting our continuous receivable collection efforts. And then we also saw a notable improvement in days payable outstanding rising from 52 days to 62 days due to successful payment term initiatives. And then on the other hand, DIO rose as a result of our strategic inventory buildup for product launches, which we expect to decrease in the second half of the fiscal year. And then capital employed ended at roughly CHF3.9 billion, driven by higher inventory levels and acquisitions. Then the return on capital employed declined from 18.9% to 16.7%, and more than half of the difference can be attributed to the adverse FX impact and the remainder is mainly due to lower business results in H1 and an increase in average capital employed from the acquisition of HYSOUND, which was not fully affected in the average capital employed in the first half of last year. The net debt decreased by CHF100 million and the net debt-to-EBITDA ratio, as I already mentioned, stood at 1.8 times. So now I'll hand it over to Arnd for insights on our strategy and outlook.
Arnd Kaldowski: And I will go quickly through strategy unchanged, big picture, clearly benefiting from the innovation in this cycle. On the Hearing Instruments side, you also hear me talk about it on consumer -- on the Cochlear Implant side. Next page is only there as a reminder for our midterm targets and us looking at them as being valid from a midterm sales target 6% to 9% and an EBITA growth from 7% to 11% against the 4% to 6% market. So above-market growth and margin expansion. On Page 26, we have done what we often do between the first half and the second half, which is trying to do a little bit of a recap to help you mentally build the bridge. If you look at the Hearing Instruments segment, recap first half year, you see the highlights I shared 2% to 3% lower market, robust volume growth in Hearing Instruments, negative effect on ASP prior to the launch. The AC at a lower growth rate against a relatively high prior year comparison, but also the European headwinds. And then the Consumer Hearing business in a low single-digit shrinking market. Reminder here on the margin pressure, I talked about CI in good territory from a growth perspective. And then on the FX side, we had an impact of 1.3% on the top line and 3.4% on the profitability in Swiss franc. If you look at the second half year, probably more important, our key assumptions towards the guidance. We do expect the continued subdued growth in the market, so in line with what the first half year was. If there's better market, we'll take it, but I think it's our current assumption, and we still get to the guidance. Clearly, a strong pickup in Hearing Instruments given everything we've seen on the Infinio and the Sphere, not just in volume, but also in ASP. A small impact from the resumed initial supply to a large U.S. customer, but really on the level of the number of stores currently at play. On the AC side, the new platform will help. You also heard me say that there is a pickup in the lead generation given the activities over the last couple of months and the continued investment into that. I think on the CH side, one thing to keep in mind, last year, we had a quality issue and with it for a quarter, the true wireless, not on the market. That is a good guide year-over-year. It's not that the run rate will be higher because of it, but it's a good guide year-over-year when you calculate that. And then from the profitability perspective, the launch cost is not there anymore. Negative ASP to positive, and if you take the midpoint of the guidance, you would expect a 3% higher growth second half that by itself would generate some meaningful profit fall-through. On the CI side, we're assuming a more normal growth rate there. If it's better, we'd take it, but not factored any from a planning perspective. Unfortunately, the Swiss franc is still kind of a headwind for us. We were taking the November exchange rates and got with it to 1 to 2 points for the full year on top line and 4 to 5 on the bottom line. And everything I said with regard to some targeted cost action translates into some structural improvement opportunities, which we have started to implement not significant for the impact in period, but meaningful for how we will come into the next year, putting us in a good position. That's the guidance. And with that, I would open it for questions and answers here on the call.
Operator: [Operator Instructions] Our first question comes from Hassan Al-Wakeel from Barclays. Please go ahead.
Hassan Al-Wakeel: Hi, good afternoon. Thank you for taking my questions. I have three, please. Firstly, if you could talk about the share loss in Audiological Care and what you think is driving it, I appreciate you don't expect the market to improve in the second half, but are you expecting to stabilize share in the second half within Audiological Care? And how should we think about lead generation costs trending higher into the second half to combat some of this weakness? Secondly, I'd love if you could provide an update on how you're thinking about the contribution from Costco, how this is going, your assumptions here as well as your confidence in this moving beyond the current number of stores? And then finally, on the meaningful margin ramp into second half. I'd appreciate some of the building blocks here? And how [Technical Difficulty] ASP and whether you're baking in any enhanced price in the VA with Sphere, and how you're thinking about timing? Thank you.
Arnd Kaldowski: Hi, Hassan. Thanks for opening the questions here. I think on the share loss Audiological Care, I think part of it is a mix issue. We're quite Europe-centric. I think otherwise, we had a really good year last year. I think when we looked in detail, we were taking advantage of most of the leads we had built in the Q4. So we came with a relatively low lead-generation funnel. I think in addition, I would believe, and I see that when I look into existing customers versus new customers that our existing customers were relatively low in the composition in the second quarter. So I think there is an element of delay of repurchases because the audiologist has shared that the new platform is coming. Now we have increased our -- or we kept a very high lead generation investment despite the profitability headwind here. And so we come into the new half year with a good funnel, existing funnel. We also see significantly more people coming back to the renewals. Last but not least, there is a meaningful price impact between Lumity and Infinio Sphere and also in Audiological Care. So that's the components I would say, yes, we should in minimum, stabilize the share position there, which is what we factored into the walk towards the guidance. The large U.S. customer, I think, coming back into the channel, that approach the customer took was to say, we want to test you in a certain number of stores. It's a smaller number. So it's not so relevant from a revenue perspective. And such a period normally is, I can't give the exact month, but directly in line with how we have to think about the second half year. So don't expect a significant revenue contribution. And I think, honestly speaking, if somebody puts me up into a pilot, I have to assume, if I don't have a lot of data, it's a 50-50. Now we can argue is it a little better. Is it a little worse? But right now, our product needs to -- and our service we provide needs to prove itself relative to somebody else, right? So in that regard, it's not a foregone conclusion if you go on a pilot that you win a pilot. So -- but limited impact this year. If we're successful, it has a meaningful impact into the next year. And that's what we factored into the guidance here. From a margin pickup, first, there's no pickup in VA planned in here. I think VA will stick to their six-month cycles, the November is clear with the Infinio. Everything else would go beyond the planning horizon here for the half year. I think the bridge, in very simple terms, if for the Hearing Instruments and the Audiological Care business, you go from, call it, minus 2% in ASP, that's not the exact number, but directionally to a plus 2% for the new product, that gives you half of the bridge. I think the other half of the bridge is if you have 3% more growth and you have that at 70% gross profit, which is our fall-through, right? Now in addition, we are focused on keeping costs relatively flat first half or second half year that should give some buffer. But it's really a big part is really the volume pickup in the -- from price decline to positive price development.
Hassan Al-Wakeel: Very helpful. Thank you.
Arnd Kaldowski: You're welcome.
Operator: The next question comes from Julien Ouaddour from Bank of America. Please go ahead.
Julien Ouaddour: Thank you very much. Hello, everyone. So the first one is a follow-up on VA. I mean how confident are you in order just to negotiate a price premium for Infinio in the channel before next May window, basically? And also if you could quantify the expected price premium for, let’s say, like the rechargeable category? I guess it's double digit, but I just want to -- I like to know if you have any color here. The second question is on Managed Care. Where are you in the discussion with the providers just to get a price premium also for Infinio? And is it something we can expect for this year? And can you maybe just remind us the percentage of Managed Care volume do you -- that you identify being premium, and so potentially, that could include Sphere into their offering? And the last one for me is just on the phasing for hearing instruments, I think at the beginning of the launch, you mentioned that a successful product launch could basically see more or less high single-digit growth difference between H1 and H2. And the -- I mean, like is it something that you confirm right now? I mean, you delivered a 7% growth in H1, so that would basically mean sort of mid-teens growth in H2. Is it fair? Thank you.
Arnd Kaldowski: Thank you, Julien. On the VA side, I cannot comment on any, let's say, commercial discussions with the VA. I can, I think, I only say, obviously, the product is not in the November while it was commercially available. So there must be some discussions going on. From the price premium of the rechargeable, I'm looking to, Thomas, do we have?
Thomas Bernhardsgrutter: I haven't on top of my head.
Arnd Kaldowski: We don't have it on top of our mind. Julien, allow us to come back to you on that one. But Thomas and I don't want to quote the wrong number here, but it was a meaningful increase. But in that case, it took a couple of years because they were waiting to make that adjustment when the five years were over, which is not necessarily the right scenario this time, but it was at that time. On the Managed Care side, I think given that the contracts are rolling on a regular basis, I think it's enough to share what price we want to see for which product. And then the other side can accept it or not. So in that regard, I think it's fair to assume that we do a similar pickup between an Infinio and a Sphere. I'm not as close to the individual contracts. In some places, the team may push a little bit more. But at the end, we said all along we can't prevent somebody from buying a product, but if a product has a premium performance, we can ask for a higher price. And I think that's the general direction we have there. On Managed Care, the percent in premium really depends a lot on the individual contracts. They're all very different. I think in general, it's under proportional on the premium side than the regular market in the independents. High-single digit first half to second half year, an increase. I said that for kind of a launch like the Marvel where we came with a B-Direct, which was not very much like at the end of the cycle towards the Marvel. I think it's in the realm of possible. We don't have the full half year done yet. But in that order of magnitude, maybe a little lower. Let's see how it plays out with the different price points. But in general, that's a good starting point to use what we've seen at the Marvel.
Julien Ouaddour: Perfect. Thanks a lot. Just maybe a very quick one. The ITE form factor is not part of like of this year guidance and you don't expect to launch it or is there any contribution?
Arnd Kaldowski: No. There's no contribution from IT ER. We need to take a slower step there. There's a couple of technical things we're working through to make sure it's right and the reliability is at the right place, but it's not planned to be in the next 4.5 months.
Julien Ouaddour: Perfect. Thank you very much.
Arnd Kaldowski: You're welcome.
Operator: The next question comes from Hugo Solvet from BNP Paribas. Please go ahead.
Hugo Solvet: Hello. Thanks for taking my questions. I have three. Two on Infinio. First, Arnd, maybe can you expand a bit your comments on the shipment constraints, when were they resolved exactly? And did the September, October data that you share on strong accelerated growth rate reflect also catching up on order delivery? Second on Infinio in terms of the failure rate, recent platforms you've launched at lower, I think the return rate by 30% consistently. Could you discuss what you're seeing with Infinio and Sphere here in terms of reliability? And lastly, on margins. So basically, your full year guidance at midpoint implies H2 margin up to almost 24%. Are there any reasons that would prevent you from carrying this momentum into next fiscal year given the benefit on the full year, hopefully, market coming back and lower launch costs? Thank you.
Arnd Kaldowski: Thank you, Hugo. On the shipment constraints, I think we were able to resolve them pretty much to the end of September. So we were constrained for the first couple of weeks. That created -- probably we could have had a little bit higher revenue, but it also created a lot of extra work with temporary labor and things we had to do and also more air freighting. So all of that is kind of in the not so positive profitability. But since then, since end of September, we do ship, and we are at a very good on-time delivery level for all of the product. What we haven't yet done and the inventory is building up and the manufacturing capability is building up step by step. What we haven't done is launching the CHF30 and the CHF50 on the Infinio, which will come later in this half year. We've started to supply VA beginning of November, which is a big volume for us. And so that went very well and the OTTI is in a good place, but we're controlling delivering at a good on-time delivery performance by not opening all gates at the same time. And so the one we're holding back right now is the CHF30 to CHF50 on the Infinio. So in that regard, I think the impact of the product is still a little bit muted on the lower-end side. But on the Sphere, we have full supply for what the demand is. On the failure rate, I think we continue to improve our reliability. So I think we would expect that there is an improvement in Infinio and Sphere relative to the Lumity. I think at the beginning of the launch, your statistic is not very high, maybe a little spike in there. There might be also things which kind of need to be fine-tuned in the assembly process. But in general, we do expect an improvement, and we have no data, which would show that we're not able to see an improvement Lumity to Infinio and Sphere. It's probably not the 30%, but it's going to be meaningfully better. We can continue to, A, get the cost improved, but secondarily get the customers to better place. On the margin side, 16% to 24%, yes, we come to the same number in the math to hit the midpoint. I think, as I said, there's a price element, there's a volume element in there. We want good control on the manufacturing costs right now and have been in the first half year. We had a margin expansion in gross profit despite the ASP headwind. So we don't have a negative against us right now. And I think, yes, mathematically, there should not be significant launch costs. The volume should stay there, and we should grow from there. So I think in principle, while there's always -- the second half is always a little higher. So don't take the exact profit margin. You need to see the seasonality we have, but I think the second half year is more the new run rate then.
Hugo Solvet: Thank you.
Arnd Kaldowski: You're welcome.
Operator: The next question comes from Maja Stephanie Pataki from Kepler Cheuvreux. Please go ahead.
Maja Pataki: Yes. Thank you for taking my questions. I would like to start with your commentary around AC where you said like some holding back with regards to the launch of Infinio and Infinio Sphere? Can you confirm what are you've seen in your own stores now this uptake already since the launch? The second question is, Arnd, could you please spell out what kind of cost savings you anticipate from the new restructuring in AC? And then also, it has been talked about before. When we look at the lead generation costs, overall, the softer markets that we're seeing right now, what do you think needs to happen that we see a market recovery meaningful? And I know that there are different reasons in different markets, why there is a softness, still overall, it is a bit of a softer market? And then the last question, looking at the profitability on the AB side. years back, we've been talking about a mid-teens EBITDA margin. Looking at where we are in the half year also on adjusted numbers despite strong growth rates, we're still a while away from where the target is. What needs to happen to get you up there? Thank you.
Arnd Kaldowski: So on the AC side with regard to the more contribution, it's very hard to prove at the end that some people were holding back. What I think more relevant for the go-forward is do we see a meaningful increase of people from the existing base, and are we seeing a good pickup on the Infinio and Sphere. We do see in the markets where we launched the Infinio and Sphere, we were very effective in campaigns towards the installed base, meaning the people who are coming up at four years, five years and so on. And that is helping us to have a higher growth at this point of time. By the way, there is an immediate impact on your lead gen because while the lead generation for new customers, depending on the channel we use is high. If it is an installed base customer, there's a good guide. So I think in the last years, we didn't have our normal run rate in existing customers. I think people delayed their purchases. So I think there will be a positive contribution on lead generation, but we clearly see right now that we're able to bring more of the existing customers back and buying at a high price. So that is visible in the numbers. On the cost savings in AC, I think, first, because they are structural in nature, they don't have all of their fall through in period. We're in the process of implementing them. Allow me to share a little bit more openly here. We have a new leader for the business, came in almost at the beginning of the fiscal year. All of us going through a process to assess what are the things I want to keep on doing, what are the things I'm changing. So there is focus on do I need all of the, allow me to say, headquarter functions in country and in the headquarter to all of the investments over the last years to go in the right direction. And so there is reductions with regard to headquarter functions in both levels, global and local. I think the second one is, we will go through and are going through and have taken some decisions with regard to stores, which are chronically in negative EBITDA, and how can we move as much as possible from the consumer database over to the neighboring store. These are the kind of things we're doing. It's not easy to give you a number because we don't share the exact number, but if you look in the step-up on the restructuring of first half to second, you see that we're expecting to be more in the, call it, 25%. If you take order of magnitude of one-time restructuring cost for your run rate, you're probably in the order of magnitude of what we expect as a run rate improvement. On the lead gen side, I said part of it. I think what does need to happen, it would be helpful if consumer confidence improves in Europe, and everybody automatically gets more leads. I think the second one is we need to get back into a world in which we're able to get, on a steady pace, the renewals. I think the last one is more of the Sonova-specific. I think when we reassess what we've done over the last 12, 18 months, I think it was too much focus on digital because we were pushing the short term. I think one of the reasons why we're not so good on the profitability for the first half year, we did not reduce our investment into lead generation in August and September. And so I think under the new leadership, the focus is more when you get a steady pace, which allows you to get a better mix between lower-cost leads and higher costs because the ones you push short-term are normally the most expensive ones. I know you didn't ask that one, but I think there is a way on the Sonova side to manage the portfolio of lead generation sources better. And I think, secondarily, it is important that particularly the European markets get back to a more steady state with regard to Germany, France and U.K.
Maja Pataki: And on AB?
Arnd Kaldowski: And AB, I didn't write that number. I had written three and somehow I missed the AB one. I think on AB, we have a seasonality between first half and second. So when you look at it, I think last year, we were more around 12%, 12.5% or so. So we got now 140 basis points. I think if the 140 worked for the full year, then it'd be more on the 14%. We do have meaningful improvement on gross profits, partially coming out of the moving manufacturing to Mexico are a big part of the manufacturing. So I think all of the elements are in play. And I would expect to be in that ZIP code in the second half of the year and probably also next year.
Maja Pataki: Thank you.
Arnd Kaldowski: You're welcome.
Operator: The next question comes from Graham Doyle from UBS. Please go ahead.
Graham Doyle: Thanks a lot for taking my questions. Just a couple. Firstly, the share gains you talked about in the U.S., could you just contextualize what you're referring to as commercial? So is that excluding Costco, Managed Care and the VA? So is that sort of independent and small chains portion? And in which case, is it 5 percentage points in that or 5% of that part of the market? Just to get a sense as to how big the dot is moving when we think of the independent side of things? And then you've sort of elaborated on. But just again, if you could just give us a sense as to what is in the conservative case scenario that's realistic that has allowed you to keep the bottom end of that range given the sort of slightly better-than-expected first half and obviously, the great momentum in Sphere. So just like how cautious do you think that really is and why you kept it? Thank you.
Arnd Kaldowski: So on the first one, very simple. We simply took total market and left out the AC. So commercial in that definition includes everything from Managed Care to any large retailer, including the company, Cosco. Now mathematically, we looked at the June. We also looked at the run rate of three months around the June and compared that with the one month or the two months since the launch that's gotten us to that 5%. Again, keep in mind, this was meant to be an indication for how much pickup we get. We don't necessarily plan with that as being a sustainable share gain over 12 months. On the second question, can you remind me, Thomas?
Thomas Bernhardsgrutter: The bottom end of the guidance for conservative scenario.
Arnd Kaldowski: Yes. On the bottom end of the guidance on the top line, I think you would expect that somehow the market is weaker than what it was in the first half year.
Graham Doyle: Okay. Brilliant. Maybe one quick question on color in terms of what are the different dynamics? It was one of the things at the Capital Markets Day, you had good visibility, well, you had some visibility in terms of the launch and the reception of Sphere in particular in the U.S. and Europe was coming a little bit later. What's -- like has there been different feedback, there's different preferences just to get a sense as to how we think those markets kind of roll out over the next few months?
Arnd Kaldowski: I think we have the same read as around the capital market. I think we're -- we have to call it the mix between Sphere and Infinio. And I think there's still the jury is out. We always at the beginning, have the higher end where people are going to, and maybe that's the hearing care professionals who bring the people in, who are the most affluent and can afford those kind of things easier. So I don't think we know the endpoint of the mix between Sphere and Infinio, but we feel pretty positive that it's still, even for the month of October, above 50%, right? So that is better than what we thought. And I think otherwise, I think the mix in the U.S. is higher on Sphere than in Europe by a couple of percentage points. That's not unusual. Europe is a little bit more price sensitive. But otherwise, I think all of the markets are seeing a good S curve in adoption. Everyone sees a very high positive on the Sphere and then people need to make a trade-off between the cost for the one versus the other. And is it worth the extra money for their hearing environment? And do they need a boost for the noisy environment? What we have not heard a lot is the size. It doesn't really come up. We were more concerned, but we still don't hear it a lot. The other one we don't have, let's say, from users' concerns on run times. I know there's discussions on battery power and whatever. But the good news is, it works for 5 hours streaming and 3 hours AI, and people are normally not more than 3 hours in a very noisy environment. So we haven't heard anyone push back also, not the audiologists. For them, these kind of parameters make sense.
Graham Doyle: That's really helpful, color. Thanks a lot, guys.
Arnd Kaldowski: You're welcome.
Operator: The next question comes from Robert Davis from Morgan Stanley. Please go ahead.
Robert Davies: Yes. Thanks for taking my question. My first one was just around sales and marketing expenses. I think you mentioned, obviously, you'd ramp those through the first half of the year. I was just wondering, is that going to normalize back to kind of last year's 1H level as we go into H2 or is there going to be additional pullback on sales and marketing in the second half as part of your kind of cost squeeze? I guess you said there was more focus on costs going into the second half. I was just wondering if that sales and marketing expense is normalizing or going to below a normal run rate. That was my first question. My second one was just, I noticed you put in on the slide the outlook for the market growth at 4% to 6% over the medium term. I don't know if I missed it, but just looking there was no specific comment for this year. A few of your competitors had sort of steered towards the lower end of that market growth guide for this year? Have you actually -- is your assumption towards the bottom end of that 4% to 6% growth range for 2024? And then the final one is just on -- across the various channels, the price differential of Sphere versus Infinio versus the cost of goods sold going into the products. Are you able to price sufficiently on Sphere versus Infinio to make a sufficiently good enough margin on those products because obviously, what's going in costs you a lot more as well? Thank you.
Arnd Kaldowski: Robert, thank you. On the sales and marketing cost?
Birgit Conix: Yeah. I can already tell you, Robert. So we do have a mid-teens million amount included for the launch costs. So that is something that will not repeat itself, of course, in the second half, which is one of the big increase. So we do expect the sales and marketing costs to normalize.
Robert Davies: Okay.
Arnd Kaldowski: I think the unknown is a little bit, the lead gen between how much of the leads do we get from existing customers over new ones. That's a big switch there, because the lead gen was also up in a similar order of magnitude. From a market growth, yes, we -- I was saying at the beginning or in my voice over, first half of the second half, we think the market will continue to be in the 3% to 4%. That's what we've seen in the first half year. At least that's our assumption for the guidance here. On the price differential, in absolute terms, definitively, we get enough price lift. Over the incremental cost of materials, I think it may be a little different if you look at the margin in percent, but that's not such a big issue in our business. Particularly keep in mind that Sphere we only sell in CHF70s and CHF90s, right? And there, the gross profit is very high. And so definitively, we get an absolute incremental gross margin with every Sphere we sell over and each renewed.
Robert Davies: Understood. Thank you.
Arnd Kaldowski: Welcome.
Operator: The next question comes from Oliver Metzger from ODDO. Please go ahead.
Oliver Metzger: Yes. Good afternoon. Thanks for taking my questions. The first one is market and macro-related. So basically, we see the slower dynamics of global hearing aid market for a couple of quarters. So how do you ultimately explain this lower growth? And then also in this context, the growth differential between Europe and U.S., what are your reasons for that? And then the last one is on Managed Care and a little bit more specific on Managed Care. So can you give us a rough idea, how organic growth in hearing instruments would have been excluding the contribution of Managed Care Thank you.
Arnd Kaldowski: Yeah. Thanks. On the market side, it's unfortunately a little complex. So if I go to the markets which are growing reasonably well, take Canada, U.S., take many of the European markets, excluding Germany and France and excluding U.K. They're growing normal. And despite of the inflation, we came pretty quickly out of the inflation push. So while we stay on a big picture, consumer confidence, don't attach all of that to inflation, it's probably even a little too easy with consumer confidence because Germany and France, which are the second largest and the third largest market in the world, they have specific scenarios. In France, we've seen the ENT being introduced as a gatekeeper. In addition, we're still on the back end of the big 80% increase when the reimbursement changed, right? I think Germany, there are still some headwind out of extra approvals for getting your new hearing aid, which big part of the insurances went away from a six year and you get it to what you need to ask and the doctor needs to approve. So there are some changes in France and Germany, which are still kind of against us. Germany, I think there is also a consumer confidence element. The GDP is in a negative territory. And I would say, being a German, the Germans are particularly worried about their savings account. I think the one which is more of a new one relative to prior year is China. Not such a big market for our industry, but China really -- and you -- everybody on the call follow that for all the companies you track, China, for the first time, is in a recession directionally with all the housing issues. And we clearly have seen the Chinese market being 20% or more down year-over-year in the first half year. Not such a big contributor, but these are the four countries: U.K., Germany, France and China, which come up when we make up where is the market not in a good territory. So please don't think big macro and everybody is the same. I think most of the markets are in a good shape. I think, France and Germany for the reasons I raised, China really a very different environment right now. I do think those will come around. And if it is with France next year getting into the first renewal cycle on the big high-volume four years ago, I think eventually, Germany will get to a better place. I think China will find its way. So I don't think it's systematically the hearing care industry. I think it's particular markets with particular situations. On the Managed Care side, I haven't calculated it. But clearly, we had a positive impact in the first half year in the Hearing Instruments from the Managed Care changes of what products available from which manufacturer. And that was a helper for us in the market share. We were, in unit volume, up already before. We got to Sphere and Infinio probably we would have not been up without that good guy. But I think we were more stabilizing based on improvements of net promoter score and waiting for the new product. So I think there's an impact in there, but I think we would have still been in a mid-single digit or better on a global level even if we wouldn't had a good guide there.
Birgit Conix: Yes, we would. Yes, we can see it also excluding Managed Care.
Arnd Kaldowski: Yeah. Birgit is looking at the numbers. So it's clearly not a couple of percent points on a global level. May be 1%, but if at all.
Oliver Metzger: Okay. Great. Thank you.
Arnd Kaldowski: You're welcome.
Operator: The next question comes from Giang Nguyen from Citi. Please go ahead.
Giang Nguyen: Hey, guys. Thanks for taking my question. I hope you can hear me all right. I have a couple of questions. So the first one is, if you think of the returns rate, how would you benchmark it against the Marvel launch, which was very successful? I know previously, you commented on the reliability rates for this unit already. And same with the repurchase rate that you had helpfully provided on the slide, how should we benchmark that against the Marvel launch? So that's my first question. And my second question is, when you think about the sell-in versus sell-out dynamics in the market that you have launched, for example, the U.S., is there any channel showing that you've seen in wholesale in the first half? And I might have a follow-up question, but I'll just stop here for now. Thank you.
Arnd Kaldowski: So on the returns rate, we are in better territory than in any other launch before if we define return rate as somebody was testing the hearing aid and did they keep it, yes, no. So that's an incremental positive in the launch relative to any other launch before, which I think indicates a good first time fit from the Infinio technology and whoever took the Sphere also a positive on the performance of the denoising. From a repurchase rate, if you look at the 70%, I think it's a little lower than with the Marvel launch. On the other hand, we played a little bit differently from a commercial. We were pushing at the beginning more bulk and having to bundle in Infinio and Sphere volume. So I would venture to guess we had somewhat higher volumes per purchase. And so some people may still sit on the ones they purchased in the first place. So we have no concern on a repurchase because of the continued positive feedback, and also people coming back to us and sharing how great the customer received. Keep in mind what I said on the return rate, people keep it in a higher percentage than in historical launches. I think the launch approach, including pushing for certain bulk orders was different. From a sell-in and sell-out perspective, we have been focused on delivering to independents in the first wave here. We have not yet provided Infinios and Spheres to some of the larger channels. The independents, they tend to buy and have already a fitting appointment in front of them. We did see that when we said we can't deliver as quickly, some people said, then I wait with ordering until you can deliver in four days, right? So there is not a lot of inventory buildup in independents. Also the prices are relatively high. So in that regard, I don't feel that there's any sell-in, sell-out element here because it was so heavily focused on the independent side.
Giang Nguyen: Really helpful. Thank you. And I just have a follow up question.
Arnd Kaldowski: Operator, can you.
Operator: Excuse me, madam, this is the operator speaking. We are receiving a very bad audio quality from your line.
Giang Nguyen: Sorry, is it better now?
Arnd Kaldowski: Yes.
Operator: Thank you.
Giang Nguyen: Okay. Sorry. So my follow-up question is when you said that the mix is more than 50% due to Sphere, are you talking to all channels that you have launched so far or are you just talking to the commercial channel specifically? And if it's across all channels, are you including the VA and Managed Care? Would you be able to provide a split in the commercial channel only? Thank you.
Arnd Kaldowski: So it is -- on the commercial side without VA, so we're looking like-for-like, keep in mind in the VA only Infinio is available, so that would distort the information I think it does include the Managed Care. We're not separating that out when we do the analysis. So we're above 50% in everything without VA.
Giang Nguyen: Thank you very much.
Arnd Kaldowski: You're welcome.
Operator: The next question comes from David Adlington from JPMorgan. Please go ahead.
David Adlington: Hey, guys. Thanks for the question. Just coming back to that 5 points of share gain again. That was obviously for August, September. I just wondered if you've seen that maintain through October and since then, or has it pulled back a little bit? And then just sort of following on from that, that 70% repurchase rate. Of the 30% who didn't repurchase, what was the key reason they didn't choose to come back? Thanks.
Arnd Kaldowski: So it's -- I think the share in October was a little lower than in September, not in a dramatic way. But again, I think we use that more as a, let's say, how fast does the channel come up. On the repurchase rate, I think people who switch ultimately -- switched to Infinio and Sphere. I think it's really more who in the last eight weeks has purchased enough to serve the customers and who needs to order more because they need to serve more customers. I think what may be in there and I haven't done the analysis, David, sorry for talking a little bit out of the kind of sentiment rather than the analysis. What we always see and what we also see in this launch that some people don't switch all and so there may be some purchases of Lumity going on, but because the number is very normal to other product launches, I don't think there's anybody who is pushing back to, over time, convert over, at least to the Infinio and then you use the Sphere for the ones who want to have something special, but I haven't heard any specific reason. I think people are comfortable with the price increase from Lumity to Infinio. Otherwise, they would have not started. I think people are comfortable that for the right end consumer they take the Sphere.
David Adlington: Understood. Thanks. And maybe just a follow-up. I just wondered if you had any expectations for French market growth next year in acceleration with the annual -- annualization of the reimbursement?
Arnd Kaldowski: I didn't fully understand the question.
Thomas Bernhardsgrutter: The French market.
Birgit Conix: The French market.
Arnd Kaldowski: That's my crystal ball. I think we do expect that the French market will see some growth next year because of the large number of people coming back from the initial purchase round. It's hard to call it. And I think, is it going to be high single digit, it is going to be above that where we will need to see that. We were unfortunately, always a little too optimistic on the French market in the last 12 months. So we're probably more in a muted environment, say there will be meaningful growth, but probably it's more on the high single rather than assuming easily double digits.
David Adlington: That's great. Thank you.
Arnd Kaldowski: You're welcome.
Operator: The next question comes from Urs Kunz from Research Partners. Please go ahead.
Urs Kunz: Yes. Hello together. I have three small questions. First question regarding net debt to EBITDA, which was 1.8x, and I expect that to go down to in your bracket of 1.0x to 1.5x by the year-end. Would that imply share buybacks if we get back to this level? And the second question, you said that R&D was flat after finishing this high investment of the two new platforms. I guess they were quite expensive, and I don't think in the future we have, with the new chip, something like that, again. Do you expect R&D in absolute terms to be even lower in the future or if not, why not? And the last question is regarding the new administration in the U.S. If they would change the taxes and come up with higher import duties, how would you approach this? That's for me. Well, thank you.
Arnd Kaldowski: Yes, I think, go ahead, Birgit.
Birgit Conix: I'll quickly talk about the first question. So our earnings development in the first half, coupled with the dividend payment in June resulted in that increase. That to the 1.8 times, which I explained also in the presentation, and that is -- that was expected. And as with regard to the share buyback, we continue to monitor our leverage close -- leverage ratio closely, but of course, we expect for it to come meaningfully down as it always does as there is some seasonality here. But given that we are above our target level of 1 times to 1.5 times, we have no immediate plans to restart the share buyback, but it's just a mechanical effect once we go below the 1.5 times then that can be considered.
Arnd Kaldowski: On the R&D side, you see it already in the numbers. Now it depends very much on bigger swings, depend very much on what kind of external projects you do with partners because our headcount, we don't adjust that quickly. But right now, we're in a less intensive phase with regard to microchip. So I would start from that number. I think we still want to be thoughtful that where we see opportunity to drive innovation given our size and our capabilities to use that as a strength, right? So I wouldn't commit to it coming down, but you already see it's kind of flattish, slightly down year-over-year. And I think that's a good base assumption right now. On the U.S. side, first, I think we do not know what the new administration will put in place relative to what was said. I think from a taxes and tariffs perspective, or from a tariff perspective, that's not an easy answer for anyone because it's not the assembly, it's where your components come from because you need to have a meaningful level of local content in that regard. I don't think anyone can easily change that because you -- on the chip side and many other things, right? So I think we would need to work through the supply chain. We first need to judge is it worth it for the extra investment of a tariff. Secondarily, then you have a longer period of time to moving there because I do believe from the last analysis, it's not new, but we've done that a year ago, two years ago, or three years ago, the local content would need to increase beyond assembly. One good news, I think nobody is in the position that they have that much local content because everybody sources the components pretty much out of the Asia direction, right. So it wouldn't be necessarily competitive disadvantage. And then comes the question, can you release that with higher prices? How do we -- does everybody behave? So I think all of the above. I think you would think about your long-term opportunity, but there's no short term. I think one would need to see if one can hand it to the customer based on price. But for now, we don't know what's going to happen. So we observe carefully.
Urs Kunz: So regarding no competitors is better there because if they don't have enough added value that also includes Starkey.
Arnd Kaldowski: Starkey, I'm not definitive. I don't exactly know where the chips come from. So Starkey, maybe I need to exclude Starkey here in my sentence. It could be that they are in a better position, it could be that they're not. I don't know where their bill of materials come from. But in general, I would be not so worried. I want to be respectful to everybody. But even if I have a tariff of X percent against me, I think we're going to do okay. It's -- everybody has the same issue minus Starkey.
Urs Kunz: Okay. Thanks a lot.
Arnd Kaldowski: You're welcome.
Operator: The next question comes from Falko Friedrichs, Deutsche Bank. Please go ahead.
Falko Friedrichs: Thank you. I have three quick follow-ups, please. Firstly, on the European market. I guess there's a clear path for recovery in France. What do you think needs to happen in Germany for that market to get going again? Then secondly, on your channel strategy with the Sphere hearing aid, is it possible that this hearing aid won't have a future in the VA or the Managed Care channel because I don't know you potentially don't agree on the right price or do you take sort of whatever it takes attitude and really want to get this hearing aid into these two channels going forward? And then my third one, is on these additional efficiency measures that you announced, is that more of a defensive move to make sure that you're landing within that earnings guidance range or is that something you would have done anyways? Thank you.
Arnd Kaldowski: Thank you. Falko. On Germany, we've seen a little bit of a recovery in the first half year. It stepped up to low single digit. But I do believe on the one hand, we need to find a resolution on the 40% insurance environment. And there is negotiations going on and for the ones who are not as close, 40% of the insurances in Germany have unilaterally moved out of the agreement that after six years, you get a new hearing aid. And now people need to ask for if they can get it after six or seven or eight. It's not very efficient for the insurance because they need to prove every case, but I think they wanted to start the negotiation. And so the representation of the hearing care professionals is in negotiations at this point of time, and how to get this back, I think it would be more efficient if we have a clear time line. But I think that's an important one there. The other one really is consumer confidence. Germany, I think, is pretty low. You can see it in the general consumption behavior which is lower than other markets. I think, you and I go, given where you're coming from, how long the Germans come around. I think it will, in minimum, take more political stability with the changing government now, but I think it's probably still, I don't know, six, 12 months until we're in a better space there. From a Sphere channel strategy, very different answers for between VA and Managed Care. I think on Managed Care, keep in mind, it's many different insurances, and they even have different plans. And so as we're going through renewals of these plans and bringing new products forward, we offer a certain price for the Sphere over the Infinio. They can pick it up if it fits into their economical equation or not. If they want to push to the price too low, then we can leave it out, and we only sell them Infinio. On the VA, I think at the end of the day, this is a great product for VA because veterans, in general, have a higher hearing loss than the average population given that many of them were induced on the battlefield environment with regard to hearing loss. So I think there'll be a meeting of minds. Don't want to give my negotiation strategy hours away. But I think I'm quite confident that at the end of the day, we find a good way to serve the U.S. veterans with best technology, then we will find a way together with VA to get there in a good way. On the efficiency side, when we pace being asked the top line is a little lower and it will come back. We really pace not in structural improvements. There are certain items we don't do or we push back or whatever else we do. That one is more of the playbook for the second half year. But I do think after the review of the activities in Audiological Care and the structure, which we're going through, we see opportunity. And that one, we want to get into the cost structure, and that's what we're working on. There are some similar things on the G&A side more towards more shared services. There are some conversations and some activity going on, what are the activities we need to have in the Swiss environment versus others. These are longer-term projects, but we have initiated them and we’re driving them through the organization.
Falko Friedrichs: Perfect. Thank you.
Operator: The last question for today's call is a follow-up from Maja Pataki from Kepler Cheuvreux. Please go ahead.
Maja Pataki: Yeah. Thank you very much. I have two. Maybe getting back to Falko's question, just about the restructuring in AC. Now trying to understand whether this is more of a bigger structural thing? Or this is something that is a small correction. It sounds to me more like you're doing a full analysis of the status quo and whether that's still a strategy that you want to keep going forward, not the AC as a general focus point, but how it has been done over the last few years. So it would be good if you could confirm that. And then lastly, also, I'm trying to square some of your comments. You stated that the repurchase rate of 70% is slightly lower than what you've seen with Marvel, but you also highlighted that the initial volumes purchased with Sphere were higher than what you've seen with Marvel. And I'm trying to understand, has that been driven by stronger promotional activities? Or what was it? Because if it's both times been going to the independents mainly then -- and they don't build inventory, I'm just trying to understand what is happening on that side? Thank you very much.
Arnd Kaldowski: I think on the Audiological Care side, it's fair to say that we're scratching our head on what of the many things we started on elements like omnichannel, different store formats and those really after pushing them for two or three years are yielding the results. So we're going through the portfolio of initiatives we had and we’re allowing ourselves to say some of them yield good results in top line and bottom line, other ones don't. And we're using the slower growth environment we have right now, plus a new leader in order to catalyze that discussion. So I think I would agree with you. It is a -- it's not a question of do we want to be in Audiological Care, we do, but can we run it more efficiently than we have run it in the last two to three years? Now I think it's fair to say it's not an easy business. If you also look at the people who publish their profitabilities in the last two to three years, it's not that you have seen significant, let's say, profitability increases on the people who are publishing. So I think we're all having to go through and say, how do we do this efficiently while we increase our consumer excellence, but that's what we're going through. I think from the repurchase rate, I am not worried about any stocking up. I think when we got into launching, we had huge demand for Sphere. We were leaning on the side, pushing a little bit more on -- also try the Infinio. I think we bundled Infinios with Spheres, but not to a level that you would now find independents who are sitting on three months of inventory. That's not the reality. Keep in mind that until end of September, it even took us until the end of September to serve the initial demand, while we didn't sell CHF30s in CHF50s. And by the way, still some colors are missing, right? So we're still controlling demand, but we're ramping up the manufacturing. So I cannot see that there's a significant channel staffing issue, definitively not until September, so not in the numbers you're seeing here.
Maja Pataki: Okay. Thank you.
Arnd Kaldowski: You're welcome.
Operator: That was the last question. Back over to you, Mr. Kaldowski for any closing remarks.
Arnd Kaldowski: Thank you very much for your interest and the good questions. I hope we gave enough answers. If there's more, you always know how to find Thomas Bernhardsgrutter. And with that, I want to close that session. I wish everyone a good rest of the day. Thank you.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing chorus call, and thank you for participating in the conference. You may now disconnect your lines.